Operator: Good morning, ladies and gentlemen, and welcome to Polaris Infrastructure Inc.'s Year-end 2021 Earnings Call.   It is now my pleasure to turn the floor over to your host, Anton Jelic, CFO of Polaris Infrastructure. Sir, the floor is yours.
Anton Jelic: Thanks, Matthew. Good morning, everyone, and welcome to our earnings call for 2021. In addition to the press releases issued earlier today, you can find our financial statements, MD&A, annual information form and annual ESG report on both SEDAR and on our company website at polarisinfrastructure.com. Unless noted otherwise, all amounts referred to are denominated in U.S. dollars. I'd also like to take a moment to remind you that the comments made during this call may include forward-looking statements within the meaning of applicable Canadian securities legislation regarding the future performance of Polaris Infrastructure and its subsidiaries.  These statements are current expectations and, as such, are subject to a variety of risks and uncertainties that could cause actual results to differ materially from current expectations. These risks and uncertainties include the factors discussed in the company's annual information form for the year ended December 31, 2021. I'm joined also this morning, as always, by Marc Murnaghan, our CEO. At this time, I'll walk you through our financial results. Power generation. Consolidated power generation for the 12 months ending December 31, 2021 and 2020 were 643,523 megawatt hours and 662,893 megawatt hours, respectively. These production figures are net of all plant downtime, both planned and unplanned. With respect to Nicaragua, we saw total megawatt hours of 113,395 in the fourth quarter of 2021 and versus 127,823 in the same period in 2020. In Peru, total megawatt hours in the fourth quarter of 2021 were 49,148 up from 44,110 in the same 3-month period in 2020. Revenue. Revenue was $14.9 million during the 3 months ended December 31 compared to $18.5 million in the same period last year. lower due to the amended PPA price at San Jacinto and Nicaragua, partly offset by higher production from 8 de Agosto and El Carmen in Peru. Revenue was $59.5 million during the 12 months ended December 31, 2021, compared to $74.7 million in the same period last year. Net earnings. Earnings attributable to owners was $0.5 million for the 12 months ending December 31, 2021, compared to $28.8 million in earnings for the same period last year. This decrease was attributed mainly to lower revenue, as discussed above, higher depreciation and an impairment reversal of $24.5 million recognized last year with no 2021 comparative figure. This decrease was partly offset by other gains resulting from the sale of certain investments, insurance proceeds and the mark-to-market accounting adjustments on certain liabilities. Adjusted EBITDA. Adjusted EBITDA, a non-GAAP measure used by the company, was $43.8 million for the 12 months ended December 31, 2021, compared to $58.7 million for the same period last year. Cash generation. Net cash from operating activities for the 12 months ended December 31, 2021, of $41.1 million, higher than the $40.3 million for the same period in 2020, mainly due to a favorable change in noncash working capital due to our improved accounts receivable collection during the period and lower interest paid, partly offset by lower revenue compared to the same period last year. Net cash used in investing activities for the 12 months ending 2021 was $10.1 million compared to $2.9 million in the same period last year, largely due to an increase in restricted cash and purchases related to the construction in progress, mainly of the binary project in Nicaragua. Net cash from financing activities for the 12 months ended December 31, 2021, of $6.9 million compared to $10 million net cash used in financing activities reported last year.  The increase was driven by higher net proceeds relating to common shares issued during the 12 months ended December 31, 2021, partly offset by dividends paid and lower repayment of debt compared to last year. Dividend. Finally, I'd like to highlight that we do intend on paying our 24th consecutive quarterly dividend on February 25 of $0.15 per share to shareholders of record on February 23. This continues the Board and management's commitment to regular positive distributions to shareholders, coupled with an ongoing emphasis on attractively valued accretive acquisitions. With that, I will turn the call over to Marc, who will elaborate on current business matters as well as on our quarter end and year-end results.
Marc Murnaghan: Thanks, Anton. So I'll go through my highlights. First, I do want to highlight the, call it, refinancing, which we announced and closed. This is a very material event for us. We did publish in our MD&A on SEDAR now the revised principal schedule, which, in my mind, is really the big win here, which is that we now have effectively a 15-year loan. And based on the prior structure, it was coming due in 2028. So more than doubled the remaining term. And what that really means is that between now and 2027, we will be paying over -- just under  less in principal. And so we're going to have around $50 million more in our jeans over the next 5 to 6 years because of that, which is very material for us as a company. So that's the first highlight. And when we finalized the renegotiation of the PPA just over a year ago, the thinking was we're going to extend for 10 years, so we get a win in the term, for sure. And the way to make it a win, though, because it was a lower price was we needed to get 2 things done. One was the refi and the second is the binary unit. And so the update on the binary unit is that at, call it, December 31, we had spent about $8 million. So our cash -- just we reported consolidated cash of $97 million. $8 million had been spent up to that point. So that's about 1/3 of the budget. It is, at this point, on budget and on time. So we had guided to a Q4 2022 in-service date. We are still keeping to that, and we are still keeping with the budget, which I think in this environment is very good. So we're very happy with that. So that continues to progress well, and we expect initial shipments of some of the equipment from Ormat starting in March, and groundworks have already been started on site. So very pleased with the progress there. So going back to this renegotiation of the PPA was that for us to make it a true win for us, we needed to execute on 2 things, which was the binary unit and the refi. And I can say that of the 2, the refinancing was the riskier of the 2. In other words, it's not -- I knew that we could get a binary unit going, but the refi truly was a more risky event, we closed it. So I think getting that done and then with the binary unit going, we're truly going to end up in a much better position with the San Jacinto asset, and now we have 10 years extra on the contract. So really happy with how that's all playing out.  And what that will enable us to do is have the extra cash flow to both increase the rate of which we diversify into other countries and other asset classes, and also look at some dividend increases along the way. So the goal would be to do both of those. A quick comment on Q4. Not a lot to mention about Peru for actually Q4. What I would say Nicaragua was somewhat lower than we expected by a few megawatts principally because of 2 wells, 9-3 and 6-2 were more cyclical than normal. They are cyclical wells. We had changed injection strategy somewhat in October. And I would say that the short is that it didn't quite work. We now -- we had never done this test before those. So we wanted the empirical evidence. We have the empirical evidence. It looks like we need to go back to outfield and even do more outfield, which we actually are in the process of doing. We went back to the outfield strategy sometime in December. And we've noticed the sort of that we've gotten back to that. And I would say, this quarter to date, we're at 53 net as opposed to what we did in Q4. So we've already seen an improvement, and we're hoping that, that actually can continue based on the new strategy, and there are some things that we think we can do to actually continue that trend. So we'll be working on that over the next 2 or 3 quarters here. The only thing I would mention about Peru is that we think we'll still have a bump up in production this year over last year in -- principally in 8 de Agosto, although that was up because of better hydrology last year, but there's still we think we can get probably an extra 10,000 to 15,000 megawatt hours this year out of that one, whereas the other 2 are running as we would expect. And that we do anticipate a reasonable bump up in the PPA price starting May 1 because these are -- we have a U.S. CPI inflator and it -- they get -- they'll get readjusted May 1.  So that could be a reasonable bump -- or should be a reasonable bump. At this point in time, it would be at least 6% or 7%. So we look forward to that but not starting until May 1. So that's for Peru. I think it's worth spending just a little bit of time on carbon credits. We -- it took some time, but we have got San Jacinto truly verified and ready for sales. We thought we were going to have that done in Q4, but there were some back and forth with the UN. We had announced some forward sales last year. We will, by all accounts, be able to close some of that in March of this year. So I would expect to see, call it, revenue from carbon credits in Q1 this year and possibly Q2. So thus it would be -- I think it's quite a big milestone for the company. It is something that is unique, I think, for us as a renewable company and that our assets are able -- or have a greater chance of being certified for carbon credits in other, call it, North American or European renewable power developers. So this would not be, what I would call, financially material at least this year, although I think it could be something like $500,000 bump in EBITDA for the year. And we will be highlighting this more continued with the fact that we're going to be validating and verifying the Peru plants, but also plants that we are hoping to be acquiring in the short term here.  So I think the carbon credit story should start to get a little bit more visibility here this year with the first, call it, true sale, and we'll make sure that, that gets announced and highlighted a little bit more in our presentation. And I think it's going to be very interesting to see where that world goes in the next 12 to 24 months. Now to get to acquisitions. I did mention on the last call that we had, had 2 LOIs signed. The update on that is we have 3 now, and we are just in the final stretches of expecting to have binding agreements in the next month. What -- where we expect to be on the back end of that is to be in, call it, 5 jurisdictions to add an asset class. So right now, we have geothermal and hydro. We would expect to add solar to that. And so we hope to come out of that in 5 jurisdictions, all of which would be in U.S. dollars, all of which I would say are -- would be, at least from a perception perspective, considered to be better than Nicaragua. So each one of those, including Peru, once we've done these, the goal would be to grow significantly in those other jurisdictions. And we do see a lot of growth there. And we also see with this -- these moves, we can then have a combination of acquisition growth and generic sort of pipeline growth because up until now, even Peru was an acquisition, these are going to be acquisitions. But we will, I think, still have the ability to be acquiring assets at attractive valuations in the size range and the jurisdictions we're working in. But I would also see us layering in some of our own projects on the backs of these expected acquisitions. So it's going to be a combination of those 2. And I think that's a very important strategic step for the company. And then where that -- in addition to that, where this all moves us, I think, is towards being able to -- even though we just did a refinancing of San Jacinto, that was always sort of step 1 of what we see as a longer-term goal of doing a more corporate refinancing. I look at where we are or where we should be, call it, mid to end of this year is have more spinning assets, more jurisdictions, more technologies and still, call it, debt to -- gross debt to EBITDA of 2.5 to 3x, which is very low.  But with the pipeline and with all of the interest that -- I know that in the public markets, you've seen some waning interest in the renewals, but I can tell you in terms of the debt side, the capital is still flowing. We still get interest -- inbound interest, and so I think our ability in the medium term to do a more corporate-level refi is going to go up, and that's absolutely where we're heading. And just -- I don't think we're going to be one of these companies that goes to 6 to 7x debt to EBITDA. But at 2.5 to 3x, I think there's, for sure, 1 turn of EBITDA to be done, if not 1.5. And so you do the math on what we're looking at, I think, I have something in the range of $60 million to $65 million of EBITDA in 2023. 1 turn of that is another $60 million, so -- which I think we could use to further accelerate the diversification. So we are an underlevered balance sheet even with everything we're doing. So that truly is where we're heading. And I think that, again, gives us the ability to look at both more diversification but also making a big impact and even still reducing our total debt cost and debt service, which should lead to more dividend increases in the long term. So that's where we're heading. So that's it for my comments, so we can open up for questions now.
Operator:  Your first question is coming from David Quezada from Raymond James.
David Quezada: Marc, I joined the call a bit late, so apologies if you already touched on this, but I'm just curious of the new jurisdictions that you intend to add. Is it fair to assume that each of them have some kind of a framework like a procurement of renewable power, I guess, as it relates to whatever development assets you'd also get? Or would you be looking at like demand in these regions from corporate buyers? Just any -- maybe it's a bit early, but any color you have on the kind of regulatory backdrop in those jurisdictions.
Marc Murnaghan: It's interesting, I would say almost all of the corporate buyers are there, but that wouldn't be our first priority. I don't think we -- it's mostly sort of whether it's a local but state-owned distributor or one big state-owned distributor or transmission company, but that truly would be the main way that we would look at in, call it, a few of the jurisdictions. The other one, we have talked about Panama. That one is unique. That one is you can get quite good contracts with the 3 distribution companies in the country. The issue there, though, is it's -- they're not take-or-pay. They're almost more of the contractual agreements where you agree to provide a certain amount of megawatt hours through the year. And you could contract for 100% of your production. Problem is if you don't deliver, you're on the hook and you then would have to go by. So what we see is most sort of whether it's a hydro plant or solar, they tend to contract up to 40% or 50%. But it would be a bit risky to go to 100%. So Panama is a little unique in that you're not likely going to go to 100% contracted. Now we think that that's actually interesting because we like the market dynamic there. And I don't think it hurts for us to have a little bit of spot exposure.  And by that, I mean, we're talking well below 10% as a pro forma company. So yes, I think it's mostly government sort of contracted. Even you've got some bilateral. These governments are doing their own -- they're doing both bid processes. But we're seeing more bilateral, which I think is better than a bid process. But that -- I would say that's more of the -- what we're seeing, and Panama is a bit of a unique animal in terms of most of these markets.
David Quezada: Okay. Great. No, that's helpful. And then maybe a follow-up then just the comments on Panama. Is there any context you can provide on just how power prices in the country have trended over time? And if they've moved higher recently, I guess, with the trends we've seen globally?
Marc Murnaghan: So they have recently moved higher quite strongly, actually, in sort of December, January and month to date, like we're talking $120 a megawatt hour. I wouldn't expect that to continue. They were -- conversely, they were quite low during the sort of heart of COVID. I'm talking $60 a megawatt hour. But that truly was just a demand-driven result. And if you go to pre-COVID, it was probably $90 -- $80 to $90, right in between those 2. And we -- they do have some gas plants coming on. So we're -- when we look at our projects to generate the returns that we think we need, we're assuming about a $70 a megawatt hour is what we think. And right now, we are seeing numbers higher than that. So hopeful that we get our return to $70, but I would see some upside to that number.
David Quezada: Okay. Great. No, that's great color.
Marc Murnaghan: You could, for sure, contract higher than that today. But as I said, there's a limit as to how much you would want to contract in terms of the percentage of your production.
David Quezada: Okay. Okay. Great. Understood. And then maybe just one more for me, and I'm not sure if you touched on this already, but just any update you can provide on the certification process of the carbon credits that you're working on, and just any detail you can provide there?
Marc Murnaghan: Yes. And I'm going to be adding a slide that provides a lot more detail to project status inventories. I would say up until -- it still is a teeny bit of an opaque world, but there's a lot -- it's getting a lot better. Last year, it was still in the super opaque category, I would say. But we were expecting to have the credits for San Jacinto fully verified and issued. So we could close -- we had done a forward sale, which we did announce. And we were expecting to do in Q4, but because of, I call it, just the bureaucracy plus COVID restrictions, that's slipped into Q1. But we do expect to do a sale this quarter, not material. I'm talking like $300,000, $400,000. But where we are moving is I would see that we should start to have some help on both the revenue and EBITDA line from carbon credits this year, which is quite unique to us. And that, combined with what we're seeing in the end -- the interest, the inbound interest is higher than we've ever seen. I mean if you go back just a year, when we were still in the process of getting San Jacinto re-registered, people -- we were talking to people at $0.25 to $0.50 a ton our, call it, average sale. We ended up in the summer selling forward summit about $1.42 on average. So much higher than, call it, where we were a year ago. But now that would be considered low. So for the kind that we have, you're seeing things in the $2 to $5 range a ton and seems to be heading north. So where my round numbers, and I don't have this in front of me, but between Canchayllo, San Jacinto and 8 de Agosto, which should be finished mid- to, call it, Q3 this year. You're looking at, I would say, 250,000 credits a year, and -- but that doesn't include any of our acquisitions. And I would say, "unsold inventory" of maybe 4 million total credits and trending higher. Because with the acquisitions we're looking at, we think there's different -- it may not even be the UN, but there's now -- there's sort of 4 governing bodies that register these things, and we think that's all demand-driven. We're going to be able to look at potentially the expansions there and register them. And we're already spending time on that, even though -- on other projects that we don't even currently own. So we're working on that. So the hope is we have a portfolio, we'll be kind of explaining to the markets just both what our annual, call it, credit generation is, but also our unsold inventory.
Operator:  Your next question is coming from Nick Boychuk from Cormark.
Nick Boychuk: While we're talking about Panama, could you please give us an update on Chuspa, just kind of development time lines, what you're seeing with the assets?
Marc Murnaghan: Yes. So we -- that wouldn't be -- at this point, I wouldn't expect that to be our first move, possibly our second. The -- we are -- the local, call it, promoter that we have the agreement with has been working with one of the government entities to make it basically a change in the design of the conduction channel so that it's -- because we felt that the route was, call it, risky from a social perspective. That's one of the reasons we held off, combined with this other thing came forward. So the combination of having something else and looking at Chuspa saying, oh, this is a bit risky socially. We decided -- so we put our efforts into this other thing, which we haven't announced, but we're working on. We haven't killed Chuspa and in fact, we went back to the promoter and said, here's what we want to do. And initially, he didn't think that the Ministry of the Environment would agree to it, but it's -- he's made in the end. We seem to be making very good progress on that. And that would dramatically change sort of our interest in it. And I think we're going to find out in the next month. And based on -- reading the tea leaves, it's heading in the positive direction. And then what I would say if that's the case, we would be very interested in moving forward with it because the combination of solar and hydro in Panama. So what I was saying to David before was you're sort of limited in terms of how much you would contract in that market if you've got either or. But if you have both, it does give you a little bit more flexibility to increase that number because they're counterseasonal. So we would love to move forward with both the solar and the hydro on Panama. So hopefully, we have some guidance on that, Nick, like in the next 6 weeks -- 4 to 6 weeks.
Nick Boychuk: Okay. But there is a -- in its current setup, you would not be moving forward with it to have an operational by H1 2023.
Marc Murnaghan: Correct. But what I would say is that from a 2023 -- well, yes, that's really when Chuspa would have been. From a 2023 perspective, our numbers wouldn't have changed and call it one is replacing the other. So then Chuspa would end up being an addition to that.
Nick Boychuk: Got you. Got you. Okay. And then on the acquisition...
Marc Murnaghan: As I said, my numbers for 2023 haven't changed.
Nick Boychuk: Okay. Understood. Understood. So we've got to work that announcement then. But then on the acquisitions, what are you seeing from a valuation standpoint and whether or not any of the local promoters are coming to you with pipelines of organic project development?
Marc Murnaghan: So from a valuation perspective, you're still seeing -- I think it's a disconnect in terms of the -- given the size that we're looking at compared to the Innergex example of what they paid from Chile. So huge disconnect there. And the way -- I know everybody likes the EBITDA multiples, but the way that we sort of look at it is we think that for operating projects with the -- that are already up and running, we're looking at, call it, a 10% equity IRR, but this is for something that's built. And so I think that's very good, but what we're getting with that is an ability, we think, to do some development projects or expansions that would be 15% plus IRRs, which we think are very good. So we're sort of targeting the combination of those 2. It's just easier to leg in to the 15% by buying sort of an operating asset at this time in our life cycle, but then we can probably shift a bit more to the development. And then I would say -- your second part of the question is absolutely what we're seeing, which is that there still is a disconnect in terms of the ability of a, call it, mid-sized player to provide capital to get development projects from the development stage to the COD stage. So we do get approached. And so I think in a way what we see is an oversupply of developed mint projects, and an undersupply of people that are interested in doing like a 10- to 20-megawatt project. So we do see that. So I would say really what we hope to be able to do is make some announcements. We're going to be in some jurisdictions where I think we can double, triple, quadruple the size in those markets after we make these initial moves. And that's going to be a combination of talking to these developers that are kind of stuck as maybe buying another operational one, but then also developing some of our own. And we just don't see like -- in a lot of these markets, what you see is a government-owned power company, right? And maybe 1 or 2 really big companies like ENEL or AES out of the U.S., Brookfield, so you see some big companies. But we don't see any of what I would call mid-sized companies that are looking to grow as a company as opposed to project by project developers.
Nick Boychuk: Perfect. Okay. And then just the last one for me. I am getting inbounds and a lot of questions on the dividend potential. Obviously, you mentioned you had an extra $50 million over the next couple of years. Time line on when you think you might make an announcement on that? And any color on the magnitude, potential increase?
Marc Murnaghan: So -- and what I have said to people is that we would likely wait until we just make sure that the binary unit is -- that there's not going to be some serious cost overruns, particularly given the whole COVID environment and the inflation in materials. And I can tell you, we're very happy with where we are today on that, and we've locked in a few components just very recently at amounts that were in line with the original budget. So very happy with that. So  I've been saying it's likely a back half of this year event because we want to make sure that there's no capital cost issues, which there isn't, but the whole, I would say, dividend increase comes on the back of 3 things, which is the refi, the binary unit and the diversification strategy. So we're very close to having those pieces in place. And if the binary unit continues to go as it is, then I'm very confident that it's -- is it a Q3 or Q4? I don't want to get too specific, but that's the high-level timing that we're looking at. And -- but I wouldn't expect -- like my view is -- when we started dividends, we started them at $0.10. And then we never -- I think we did do a $0.02 increase per quarter once and that was just to avoid $0.13. So we did $0.11 and then $0.12 and then we jumped to $0.14% and 0.15. I like the concept of having smaller but more sort of incremental increases. It's just from a screening perspective, from a -- I'd like to look back 5 years from now and have -- I'd rather have more little ones than one big one.
Operator: There are no further questions in the queue. I will now hand the conference back to our host for closing remarks. Please go ahead.
Anton Jelic: We'd just like to thank everybody for attending today's conference call, and hope everyone has a great day. Thank you very much.
Operator: Thank you. Ladies and gentlemen, this concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.